Operator: Ladies and gentlemen, thank you for standing by and welcome to the Atlantic Tele-Network fourth quarter results conference call. (Operator Instructions) As a reminder, this conference is being recorded Friday, February 29, 2008. I would now turn the conference over to Mr. Justin Benincasa. Please go ahead, sir.
Justin Benincasa: Great. Thank you, operator. Good morning, everyone and thank you for joining us on our quarterly investor call as we review our fourth quarter results. With me here is Michael Prior, ATN's President and Chief Executive Officer. During the call as usual, I'll cover the relevant financial information for the quarter and Michael will be providing operational updates. Let me first start off with the cautionary language concerning forward-looking statements. This call may contain forward-looking statements concerning our goals, beliefs, expectations, strategies, objectives, plans, future operating results, and underlying assumptions, and other statements that are not of historical facts. Actual results may differ materially from those indicated by these forward-looking statements, as a result of various important factors including the factors referenced in the earnings press release issued yesterday and those described in Item 1A, risk factors in our Form 10-K for the year ended December 31, 2006 and in our other SEC filings. We undertake no obligation to update the information contained in this call to reflect subsequently occurring events or circumstances. With that said let me just talk about the financial performance for the quarter. The fourth quarter was another strong quarter for ATN and closed out an excellent year for us with all our major revenue categories delivering good year-on-year growth. During the fourth quarter, we generated revenues of $49.6 million up $7.4 million or 18% from the same quarter in 2006. Wireless revenue was $22.8 million for the quarter up $4.7 million or approximately 26% compared to the fourth quarter of '06. Local telephone and data revenue totaled $12.5 million, which was an increase of $1.6 million or 15% and international long distance revenue was $13.3 million compared to $12.2 million in 2006, which is an increase of 9%. For the full year, 2007 total revenues grew over 19% from a $156.1 million to a $186.7 million in 2007. Wireless revenue was the largest contributor to that growth increasing from $63 million in 2006 to $83.5 million in 2007, which was an increase of 33%. Operating income for the quarter totaled $20.3 million up $5.8 million or 40% from the same quarter of 2006. Non-cash charge for the quarter was $6.7 million of depreciation and amortization expense and $383,000 of non-cash stock-based compensation, which is included in our general and administrative expenses. Operating income also included a $5 million gain on the sale of asset, and an asset impairment charge of $4.4 million. The $5 million gain on sale was associated with Commnet completing the previously announced sale of 59 cell sites with spectrum for approximately $17 million. The sale closed at year end through our fourth quarter and year end numbers do reflect the full year of operations from those sites. In 2007, these 59 sites represented approximately 25% of our U.S. wireless revenue. Proceeds from the sale are expected to be fully reinvested back into addition of new sites during 2008 and I'll talk a little more about our 2008 capital expenditures in just a minute. The $4.4 million impairment charge was recorded by Choice Communications at U.S. Virgin Island business. While, our data business in the USVI has continued to grow and become more profitable over the past few years, the TV business has struggled to grow much beyond its current market share. During the fourth quarter for reasons, we find surprising and inconsistent Choice was denied BDC tax benefits, which puts an even great strain on the financial performance of this business. Given the circumstances, we conclude that there are write-down of the asset was appropriate. Net income for the quarter was up approximately 57% from $6.9 million in the fourth quarter of '06 to $10.8 million in this quarter giving us earnings per share of $0.71 compared to $0.45 in 2006. Capital expenditures for the quarter totaled approximately $21.1 million and $52.6 million for the year. This amount was slightly higher than we anticipated because approximately $6 million of equipment that was originally part of Guyana 2008 capital plan will shift in late December. Contracting the $6 million from the 2007 total gives us capital expenditures of approximately $47 million in 2007. Consistent with previous quarters the majority of this money was spent on expansion of our GSM and CDMA network in the rural U.S. and our GSM network in Guyana. In the fourth quarter, Commnet added 41 new GSM and CDMA base stations and decommissioned 11 older TDMA analog base stations ending the quarter with a total of 303 base stations and 198 cell sites. These balances do take into account the 59 sites sold. We anticipate capital expenditures in 2008 to be at similar levels of the 2007 between $38 and $45 million. Commnet's continued network expansion and build out makes up approximately two-thirds of this number. Keep in mind this amount includes the $17 million of sale proceeds I spoke about earlier. In addition, we may incur additional capital expenditures in 2008 related to our plan hence to bring more fiber optic capacity to Guyana. Just turning to the balance sheet quickly, as of December 31, we had cash balances of $81.3 million or $50 million in term loan continues to be the only debt we have outstanding leaving us with the net cash position of over $30 million. And lastly I wanted to provide you some supplemental segment information in advance of our 10-K filing. Segment revenue and operating results for the quarter were as follows. Our rural wireless segment had revenues of $16.9 million and operating income of $14.6 million, which included a $1.6 million of depreciation and amortization and the $5 million gain on sale. International integrated telephony generated revenue of $26.7 million and produced operating income of $12.3 million, which included $3.9 million of depreciation and amortization. The domestic telephony segment had revenue of $3.7 million, operating income of $148, 000 and depreciation and amortization expense of $452,000. Wireless television and data revenue was $2.3 million and have an operating loss of $5.1 million, which included the depreciation expense of $585,000 and the impairment charge of $4.4 million. I would like to now turn the call over to Michael to give you an update on operations.
Michael Prior: Okay. Thank you, Justin. Good morning everybody. Happy Leap Year for those of you who have birthday today. Justin has given you some great news on earnings for the quarter and the year and I'm going to follow on that with some operation details and development. So, I'll start as usual our wireless businesses and in particular first of course and that will be U.S. portion. In that business, we handled about $104 million MOUs for the quarter compared to $74 million in the fourth quarter of 2006 and that's up about 45%. This growth in minutes volume is still being driven by a combination of network expansion and same size minutes growth. On a consecutive quarter basis, minute volumes were down slightly from the third quarter, which we think is just pretty mild given our typical increase in summertime traffic. It is also the last quarter, we'll operate the Midwestern assets, we sold in December, which Justin already covered and we covered in the press release. And what we expect that means is that -- the conclusion of this transaction will mean is that the growth -- the overall year-on-year growth rate of this business will flow considerably in 2008. But we still expect the areas we are in to continue at a nice growth than we are building sites. As far the Guyana wireless business, we continue to add coverage and capacity to the network. As Justin noted both the overall and GSM subscriber base grew [including] all GSM now, we ended the quarter with about 328,000 wireless subscribers and that's compared to about 269,000 the year earlier, although it is down slightly from 330,000 at the end of the third quarter. So, this is our first consecutive quarter without wireless subscriber growth and that really reflects sort of competition and what we believe is the slowdown and penetration after many quarters of rapid growth in the market for all carriers. On the wireless network expansion side, we expect the pace of the expansion to slow substantially in 2008. This is in Guyana. But we have already brought several remote communities under our network in early 2008 and those have been met with predictive move by gratifying work or enthusiasm from some of these more communities. Well, on the analysts also cover the local and international front. We had started to continue to see steady line growth of $133,000 lines at the end of the period versus $120,000 lines a year ago. This is reflected in the increased local revenue, which Justin just discussed. And in 2008 we'll also be continuing to build out our new state-of-the-art wireless local loop service in certain communities and this is not, let's say going to be contribute itself to the big increase in access lines, which replacing an older service with an improved service. On the international vertical front, as noted we reconvened our active negotiations with the government of Guyana on modifying the exclusivity provisions of our license and we hope to reach an agreement in 2008. For Local and data business in New England it's really similar towards the previous quarters, strong growth and sales with small businesses, low churn, but continued attrition of dial-up base and the other residential data subscribers. Then resulted in a very modest growth in revenue and operating income and we ended the year with 32,900 business lines that's about a 5% increase on a consecutive quarter basis and 28% increase year-on-year. In Bermuda, subscribers ended the quarter with just -- its under 20,000 that's down nearly 9% from a year earlier usually the main reasons for this our losses in our prepaid subscriber base that we talked about for and also from our lack of an adequate alternative to the roaming data services offered by our competitors. As we have said in previous quarter, finally we are able to address this gap and get data roaming launched in 2007 later in the year and we think that we'll now have the ability to offer an adequate alternative to customers and we hope that fills the gap. Now, data and the video on the Virgin Islands, our data services continue to be very popular in the market and is kind of a nice reward for this is that we (inaudible) the main local newspaper in the Islands. We recently brought the best highs peed data provider. We also had -- we ended the quarter with about 4100 broadband data services and that's up about 28% more than a year earlier. We also expanded as we have in previous quarters and in '07, our customer base for a dedicated access and other high capacity products for businesses and government and those tend to be longer-term contracts, so they are rewarding. The television business is more challenged of course as our impairments would indicate. And now operator, I think we are ready for questions.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Mr. Gaurav Jaitly. Please go ahead, sir.
Gaurav Jaitly - UBS: Great, thank you. Good morning guys.
Justin Benincasa: Good morning.
Gaurav Jaitly - UBS: Hey just a couple of questions on the Guyana business. First, the international long distance revenues the growth accelerated pretty nicely year-over-year. I was just wondering if there were any onetime wasn't there or I don't know, how you expect this growth in this business do trend in 2008 would be great? And then on the wireless side, the domestic wireless business there you're talking about, I mean what seems to have slowed there, it will be great, you can get some color on anything wireless [manufacturers] in the market right now and what market should you have in the Guyana business? And then finally on the regulatory side, you probably can't give us too much color here but just one thing you just talked about you hope to get some resolution around that in 2008? Just wondering what is an ideal case -- what would be the ideal scenario as this thing kind of play that over 2008? Thank you.
Justin Benincasa: Sure. To answer to the -- in order the first question of international result. I think international the growth there is really a case of increased penetration both the wireline and wireless. So, the overall density and the market was up so that just means, they are more -- where more people, who can be reached and more frequently and more readily. So, I think that driven this and if we're right in our assessment that the penetration can continue to grow with that rate that, that doesn't mean that -- that will be case with international. And then of course for the year, we had some benefits that in the first to second quarter from Cricket and other event that you know may -- we may not see again in '08. On the Guyana wireless competition it's extremely hard and almost entirely prepaid market to say what market share is, I mean you can -- you can acquire a customer and say the customer just I gave him an handset for free or for sort of minimal amount. So, what does that mean? I do think we look more at the revenue numbers and traffic until you say with revenue down a bit, there is definitely, it's clear that our competitor has a significant share of the market. It's really hard to say exactly what they have. We don't think they have more than the majority. If I had to guess I'd say 40% of the market it could be 30%, 35% it could be little more than 40. But I think 40 is probably the high end of what it is.
Gaurav Jaitly - UBS: Okay.
Michael Prior: And so that will leave us with the balance with the other operators sometime with the income potential. On the regulatory side you're right. I mean we're not going to talk about our position and discussions, while we're in and no one do that. I think we hope the (inaudible) and discussions are constructive and we'll see ways to come out of it with a good solution for both us and for the country. So, that's all I could really say at this time.
Gaurav Jaitly - UBS: That's understand. Just wanted to follow-up -- yes that make sense. I just wanted to follow-up on the wireless, the 35%, 40% market share, I mean that's seems like a pretty big number considering they have only been in the market for 10 or 11 months now. And obviously the prepaid market, it's hard to figure out exact market shares. But do you think it's probably a 50/50 percent market so that incrementally you've? And what's the overall penetration in the market in a sense, I think, when we met during the Road Show it was -- you just talked about 30% or 35% wireless penetration in the market just wanted to see where that number is right now any sense of that?
Michael Prior: Right. These are probably through the phone and that's a phenomenon and it's not commented at all that's due to wireless phones in the region. So, you could say normally that the penetration might be 60% or higher. But I'm not sure that's the real number because of the things there is a lot of people holding two phones and using them for different promotions. And that's the same thing as the market share in a prepaid market; it's not something by gaining the subscribers can use it. And also remember that the competitor acquired -- our existing nationwide competitors that launched GSM virtually the same time we did in 2004 still 11 coming up from zero. So that -- but nonetheless it's clear. They come in and they do very, very aggressive handsets I believe and very, very aggressive marketing expenditures and that will gain you a bunch of prepaid costs. It's really how that shapes out in the long-term that's the more interesting question.
Justin Benincasa: Right.
Gaurav Jaitly - UBS: Great, thanks.
Michael Prior: Thank you.
Gaurav Jaitly - UBS: Good luck.
Michael Prior: Just a follow-up on one thing I'm being told I may have misread a number here. On the domestic telephony segment, just to repeat that they have revenues of $3.7 million; operating income of $848,000 and depreciation and amortization expense of $452,000. So, it's one that, correct that to everybody and hope we move forward. Operator, we can take more calls.
Operator: Yes, sir. Our next question is from the line of Mr. Hamed Khorsand. Please go ahead, sir.
Hamed Khorsand - BWS Financial: Good morning. Thank you for taking my call.
Justin Benincasa: Good morning.
Hamed Khorsand - BWS Financial: Two questions. First one being on the GT&T wireless. Do you see that market maturing now or and do we see incremental cash flow from the business now that has matured or will your competitor continue to be very aggressive?
Justin Benincasa: It's hard to predict competitive response. I think we'll continue to be -- to withstand substantially on marketing because that's what they have done in other places. I think they tend to try to make a huge [factor] their first year and then maybe dial it back a little. But I don't know that they will dial back a lot. I think they still spend a lot on marketing. I do think that from a cash flow standpoint, yes you should start to see cash flows -- free cash flows expand because as we've noted we built out in most of the country. There is not as much left to do on a cost per coverage standpoint and obviously if there is on a capacity standpoint that's a good problem to have usually. And so, I think we targeted to see where we go exactly I think -- but I think it could be remain a good business for us and I think our team down there has done a very good job despite those numbers if you look at other markets, where digital as come in, I think they have done extremely well compared to often what happened because now if they fell held on to a lot of subscribers, but they kept an eye on margin and costs and haven't just follow the competitor down the rat hole for marketing expenditures that we don't think are lost. So, - -
Hamed Khorsand - BWS Financial: That…
Justin Benincasa: That answers it.
Hamed Khorsand - BWS Financial: Yeah. And then and my other question was regarding the rural wireless. You had mentioned one -- you disclosed the sell the assets and you also said that you're going to enter three new markets. What are the timelines into those markets and could we see revenue from that this year?
Michael Prior: Can you repeat that question?
Hamed Khorsand - BWS Financial: When you announced - -
Justin Benincasa: We're -- we've entered those market and we were full force in building them out. So, I think, I mean, they are going to come online [Gary] knows that business, I mean '08 but we're rapidly building.
Hamed Khorsand - BWS Financial: And is that which is I consider that in within your CapEx estimate that you provided?
Michael Prior: Yes.
Justin Benincasa: Again, will you.
Hamed Khorsand - BWS Financial: Thank you.
Michael Prior: The sales proceeds to put over exact, but that's of the CapEx number I gave, as Justin mentioned two-thirds of that number is going to Commnet, so.
Hamed Khorsand - BWS Financial: Okay. Thank you, Mike.
Michael Prior: Okay.
Operator: (Operator Instructions) Our next question is from the line of Mr. Ric Prentiss. Please go ahead, sir.
Ric Prentiss - Raymond James: Hi, good morning guys.
Michael Prior: Good morning Ric.
Justin Benincasa: Hi Ric.
Ric Prentiss - Raymond James: 1 4 and not * 1 that's her job sometimes. Couple of questions I've got for you. First to go over the CapEx again the $38 million to $45 million that you talked about $17 million in proceeds from the sale does that mean CapEx would be $17 higher than or you're going to use the $17 to help pay for the $38 to $45.
Justin Benincasa: $17 to help pay for.
Ric Prentiss - Raymond James: Okay. And as we look at the other kind of statements that you had in the press release looking ahead we expect organic growth to slow in '08. What you consider to be organic growth and maybe a side question to that is, does the entry into these new markets at Commnet does that considered organic growth or non organic?
Justin Benincasa: Yeah that's a good question. I think what we'll say with respect to that business is we're saying that overall top line year-on-year growth is going to slow considerably. That's not to say that the existing market grow it's just the -- it's the net, net of the continued growth then the normal business minus the lot of the market we sold, we think net, net, we're still going to grow, but it's not going to be at the growth rate we've seen in '06 and '07
Ric Prentiss - Raymond James: All right.
Michael Prior: It's had another way.
Justin Benincasa: (inaudible) yes go ahead.
Ric Prentiss - Raymond James: The sales obviously were done at year end. So, they are in fully in the fourth quarter from an operational standpoint in '07, they are out as of January 1. But you expect as you exit these new markets like the previous guy asked about that you'll still up be in '08, Commnet revenue versus '07 Commnet even though you're going to start from a lower base?
Justin Benincasa: Correct.
Ric Prentiss - Raymond James: Okay. Within Guyana, I know you can't talk much about it. But the definition of active discussion should we expect something quick before the summertime. Should we expect something more towards year end? Just trying to kind of gauge what you think active really implies?
Michael Prior: Yeah. I mean, we'll do our best to give you the answer. But I'll tell you -- I'll note that we still far we intended to be loss in our expectations. I mean, I think last year we thought there might be an outcome. I thin, this year it is more active. There does seem to be an intend on the side of the government of reaching an agreement soon and so that would tend to say within a matter of months maybe more or less I don't know. It's just -- you are dealing with the government everywhere, there is process that they have to go through and so it's really, it's very hard to predict. But we feels like it will happen sooner rather than later.
Ric Prentiss - Raymond James: Okay. And then also kind of going back to the language in the press release, you talked about that you're continuing to look at strategic opportunities, maximizing cash flows and returns to investors. The balance sheet is in excellent shape? So as far as an M&A environment both buying and selling, if any thoughts about stuff, what the environment looks like, the public markets have had some pretty major pullbacks or expectations and valuations have they come back kind into more reasonableness, are you seeing interesting things. And then what are the options as far as returns for investors?
Michael Prior: Yeah. I think that -- I thin that -- we do like our chance is better in this year going into this year then going into the last year, the year before of finding something that's a good fit and we think we're providing strong returns. But it's only the process it's like in the housing market people take them a lot of it and shake out of their heads the old numbers they are looking at. So, some sellers prepared to sell as maybe write it out, but there are others that need various reasons to sell and we think there is opportunity. So, we do think its good and the fact that a lot of competing buyers may have more difficulty accessing capital at least in ours areas of markets then us I think that's helpful too. So, I think all in all we're pretty hopeful. We're like -- we're like all other value investors in that sense that if you -- if you got valuation focus we like the way the markets gone.
Ric Prentiss - Raymond James: Okay. And then as far as return to investors?
Michael Prior: Well. I think its part of our D&A and we think overtime returns are going to be boosted by our M&A activity. You just can't promise what that would be and when it would be if you want to remain discipline.
Ric Prentiss - Raymond James: Okay. And then one final question for warehouse, I'm asking on the next one. You mentioned that the cricket again have you had the World Cup down there. How much benefit do you think that was to your revenues and EBITDA kind of in '07 that might not be expected to replicate itself in '09 just a general kind of order of magnitude?
Michael Prior: It is probably $1 million to $2 million of revenue benefit to pickup from that Ric. And I guess to extent that probably won't go up, there are also write-down.
Ric Prentiss - Raymond James: Yeah, okay. Thanks good luck guys.
Michael Prior: Thank you.
Justin Benincasa: Thanks.
Operator: Our next question is from the line of (inaudible). Please go ahead.
Unidentified Analyst: Hi, good morning guys.
Michael Prior: Hi, Billy.
Unidentified Analyst: I've had a few questions. I remember last quarter you were talking about the properties that you were selling in Commnet and you mentioned something about there being a couple of colleges in those territories and at the new territories we didn't have -- wouldn't have that as the case? So do you expect your usage to decrease I know you haven't talked about on a per base station business before. But do you expect your usage to decrease accordingly or should -- should we kind of keep it flat any comments on that?
Michael Prior: Well, I think it's better go back to what we've already said which is looking at an overall basis. But, we're not -- we're providing and not necessarily replace some of the huge performing sites, if other huge performing sites. But there are also some lesser performing sites and so we kind of look at in more planned. And every site, we look at everything will be build we look at what is occurring along that site. So, we still think what we're able to build and we've built throughout '07 along for boosting another revenues growth still give us the ability to grow that business that it's going to not be at the rate.
Unidentified Analyst: Okay. And I wanted to ask about GSM subscribers I'm not sure if you said, what proportion of your subs ---your wireless in Guyana were GSM?
Michael Prior: They are virtually no, non-GSM subsiding market. We've the program to quit them out over the last year and half.
Justin Benincasa: Yeah. We're starting the other network down on December. So, all doing good.
Unidentified Analyst: Okay. So, you only have a GSM network running now?
Michael Prior: Yes.
Justin Benincasa: Yes.
Unidentified Analyst: Okay. And the last question was I don't know if you can comment on it. The taxes deal that you had in Guyana is that -- is there a status update on that or is that --it's up and rolled in to your discussions regarding your license?
Michael Prior: There is no update on that. We still believe very strongly in our position on that. It is -- it's possibly, when we fixed it down with the government of course we do bring up every outstanding issue there is and they may as well. So, there is --possibly there will be some development on this.
Unidentified Analyst: Okay, great. Thanks.
Michael Prior: Sure, thanks.
Operator: (Operator Instructions) Our next question is from the line of Adam France. Please go ahead.
Adam France - Keane Capital: Hey good morning guys. I appreciate for taking my call here. Just going back through the third quarter notes and you talked about on the Commnet side the sale of these assets impacting quarterly revenue about $1 million to $2 million for a couple of quarters does that still sound realistic in yours mind?
Michael Prior: I think we're looking at it more on the overall basis because we've built a lot. So, I don't think that we think necessarily would be negative overall quarter-to-quarter. Its timing there (inaudible) and we'll try and get these sites off, and it's hard to predict exactly when the site will come online. So that -- that's some of the issues they will tell. If we can obviously the fact is that we get them up and built them faster, they will start generate traffic. So, that's some of what we've have to deal with on quarter-by-quarter basis. It's easier for us to look at the whole year. But we don't expect it to be down quarter-on-quarter by that analysis at this point.
Adam France - Keane Capital: Okay, super. Thank you guys.
Michael Prior: Thank you
Justin Benincasa: Thanks.
Operator: There are no further questions at this time.
Michael Prior: Great, thank you operator. Thanks everyone. Take care.
Operator: Ladies and gentlemen, does that conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.